Operator: Good morning, ladies and gentlemen. And welcome to the first quarter results conference call. I would now like to turn the meeting over to Mr. David Spyker. Please go ahead.
David Spyker: Good morning, everyone, and thank you for joining us today. After a busy 2021, we see significant opportunities ahead of us to continue to build our company through strategic acquisition work and third-party drilling activity on our lands. Joining me on the call this morning are Dave Hendry, our CFO; and Rob King, our VP of Business Development. Approximately 18 months after Freehold's initial large-scale expansion in the US, the company continued to execute its North American strategy, providing shareholders a sustainable dividend, low leverage and diversification to royalty payers operating in core oil and gas plays throughout North America. Through the efforts of our team, we are a bigger, better company and will continue to showcase this moving forward. Key highlights for the quarter included, bigger and better resulting in a second consecutive quarter of record funds from operations of $72 million or $0.48 per share. This was driven by production of 13,676 BOE a day and the continued strength in commodity prices. Drilling activity remained strong on our lands with 244 gross wells drilled and this is approximately the same number of wells as drilled in the previous quarter and 132% higher than Q1 of last year. Our asset base is very well positioned in the most actively drilled plays across North America and is being developed by top-tier operators. The ramp-up over the past two quarters in Canadian drilling activity is already showing up in our quarterly results. In the US, these strong activity levels will show up as production in Q2 and beyond as the cycle time to go from a permit or well license to production is typically nine months in the US as compared to three months in Canada. Our Canadian production was down approximately 1% quarter-over-quarter and this was driven by cold weather impacts that started late last year and continued into mid-February. March production has fully recovered. We averaged nine drilling rigs on our lands in Q1, drilling a total of 144 wells with primary targets being the Viking, Clearwater, Cardium and light oil in Southeast Saskatchewan. Our US production was down 5% quarter-over-quarter, primarily driven by the timing of bringing new wells on stream. The asset overall continues to be very well supported by drilling activity with 17 rigs active, primarily on our core Permian and Eagle Ford land base. After increasing our dividend every quarter in 2021, we are maintaining our monthly payout at $0.08 a share. Current dividend levels imply approximately a 55% payout ratio for 2022 under our current commodity price and production assumptions, with the expectation to review dividend levels, again, as part of our Q2 2022 results in August. Given the suite of opportunities we see to reinvest in royalties on both sides of the border, we are preserving dry powder to pursue acquisitions. We currently believe this is the best return for our shareholders as we see a number of high-quality opportunities to continue to enhance our underlying royalty portfolio. With this subsequent to quarter end, we entered into a definitive agreement to acquire mineral title and overriding royalty interests across approximately 1,100 net royalty acres, which equates to about 220,000 gross acres in our core Midland Basin of the Permian for $15.5 million. This is a tuck-in to our Permian Royalty lands that were acquired in October of last year. Leasing activity in both Canada and the US continues to strengthen with bonus and rental considerations approaching $1 million in the quarter. I will now pass the call to Dave Hendry to walk through some of the financial highlights.
Dave Hendry: Thanks, Dave, and good morning, everyone. As commodity prices improved over the quarter, Freehold continued to deliver on the core financial aspects of its return proposition, providing a meaningful dividend while also providing investors with a lower risk investment, differentiating the company from traditional oil and gas E&P companies. For the second straight quarter, we delivered record funds from operations, generating $72 million over the quarter or $0.48 per share. This represented a 122% improvement versus the same period in 2021 and a 5% gain versus the previous quarter. Continued strength in commodity prices, including the premium prices Freehold receipts for our US volumes, drove much of the outperformance. Freehold's average realized US crude oil price was $119 per barrel during Q1 2022, up 80% versus the same period in 2021. While Freehold's average realized US natural gas price was $6.54 per Mcf, up 106% versus the same period in 2021. In Canada, Freehold's average realized crude oil price was $104 per barrel during Q1 2022, up 79% versus the same period in 2021. Freehold realized a natural gas price of $4.20 per Mcf in Canada for the first quarter, up 65% versus the same period in 2021. Freehold's dividend payout totaled 38% for Q1 2022 versus 24% in Q1 2021, which reflected two months of Q1 2022 dividend paid at $0.06 per share prior to March's increase. As previously mentioned, we are maintaining our monthly dividend at $0.08 per share, reflecting what we see as a balance between managing our financial leverage and portfolio reinvestment in a volatile commodity price environment. For Q1 2022, cash costs totaled $3.70 per barrel equivalent, down from $4.37 per BOE in Q1 2021 due to stronger production volumes. Freehold has cost effectively integrated our US acquisitions into the company's operations, leading to the cost per barrel improvement. In Q1 2022, Freehold reported current income tax expenses in Canada and in the US of $6.4 million and $2.6 million respectively, driven by stronger commodity prices and increased production volumes. This represents the first quarter of material current income tax expense since 2014. Given Freehold’s current tax pool inventory, current tax rates realized in Q1 2022, as a percentage of funds from operations, can be used to estimate cash taxes for the remainder of the year. Net debt totaled $63 million at quarter end, representing 0.3 times net debt to 12 month trailing funds from operations. Overall, Freehold's net debt decreased by $39 million versus Q4 2021. The decrease in net debt reflected stronger funds from operations relative to dividend commitments. Freehold's prudent strategy of maintaining net debt to funds flow well below 1.5 times, alongside a longer term dividend payout target starting at 60% of funds from operations, provides protection to business from commodity price volatility while maintaining capacity to continue to grow through strategic and disciplined acquisition work. Now back to Dave for his final remarks.
David Spyker: Thanks, Dave. So we remain enthusiastic going forward as the prospects to continue to grow our business are robust. There's been a steady trending up of capital spending on our royalty lands, both in Canada and the US. Our high margins offer significant option value to provide returns to our shareholders. We will continue to pay down debt to maintain maximum balance sheet flexibility to support our M&A ambitions. We are continuing our measured pace of moving our dividend toward a 60% payout ratio, and we see tremendous opportunity set in front of us to continue with disciplined value-enhancing acquisition work. So thank you, and we'll now take questions.
Operator: [Operator Instructions] The first question is from Luke Davis from RBC.
Luke Davis: Just wondering if you can elaborate a little bit on timing issues in the US, where are volumes kind of tracking now and how should we think about that for the balance of the year?
David Spyker: So in the US, from a timing perspective, we see that the drilling activity, that strong drilling activity, translating into volumes in the latter part of Q2 into the second half of 2022. And so we're still expecting growth on the US assets throughout the year to be in that 15% to 20% range from Q1 to exit of this year. And again, that's based on the drilling inventory that we have based on the DUCs and permits that we see in front of us right now and as those convert over the coming months into wells. We've got Robert here and he can probably give you a little bit of color on what we’re seeing right now for docking permit count, and I think that would help give you some perspective, Luke.
Rob King: So maybe a bit of context around how many net wells we're looking to need to maintain our production in the US on a flat basis. And it's about two net wells plus or minus a quarter of net wells. There's a lot of assumptions that go into that number, but that's about a good number to use. And we look at how many drilled but uncompleted wells we have on our assets at the end of the quarter, it’s above 1.5 net wells that were DUCs. And then we also, on top of that, had about 1.7 net wells that were permits. So kind of both of those combined are about 3.1, what we call, net activity wells. And for better context on those ducts, we see those being turned in line into production. Somewhere on the average, it could be zero months, it could be on average in the US, we've seen post COVID about five months. So that's sort of the time frame on the DUCs. And then the permits, those -- you can probably do somewhere in a six to 18-month time period those permits get drilled and then also get completed and brought on production.
Luke Davis: So maybe within your guidance, how do you split Canada and US volumes, and have you tweaked that at all, just given the slower start?
David Spyker: We haven't split Canada and US in our guidance. And based on the modeling that we're doing, the guidance is still appropriate, given where we are in Q1 and where we see the portfolio continuing to ramp up through the year.
Luke Davis: On M&A, another tuck-in post quarter. Just wondering if you can give us some details on kind of what sort of opportunities you're seeing in the market and where valuations are sitting now, kind of how they've moved, and maybe just break that down a little bit between Canada and the US, if you could?
David Spyker: Maybe touching on the tuck-in acquisition, just briefly first. That was $15.5 million in the Midland Basin, key operators there too in the public with Pioneer and Surge, two on the private with endeavor and -- sorry, Pioneer and SM and then a private endeavor and Surge. And it's -- on that transaction, it was about high teens on both the IRR, as well as on a cash flow -- near-term cash flow yield basis, using strip prices back in early March time frame. So that kind of gives you a bit of a direction in terms of where we're seeing the acquisition prices stacking up. In terms of activity, just to give some numbers on what opportunities came across our desks in both US and Canada this quarter, we had about $2.5 billion of opportunities that came across our desk, across 30 deals. About 80% of that was US, 20% Canada. In terms of what we actually evaluated that fit our acquisition criteria, that was about 15 transactions. So we sort of eliminated half right away. There was just over $2 billion of opportunities. In terms of what we actually bid on, it's a much smaller number from that 15 that we actually evaluated. We bid on three opportunities and we're successful on the one tuck-in deal. In terms of forward expectations, there's a lot of opportunities that continue to be in the market, in particular on the US side. This high continued constructive commodity pricing has really brought forward a number of sellers really all across the size spectrum, to be honest.
Luke Davis: And maybe a final one for me. Just wondering how you're thinking about hedging in the context of M&A? I know you guys haven't done it historically, but have you -- just given how much volatility we've seen in pricing, are you considering or have you considered just hedging out any acquisitions going forward just to sort of lock in your turns and returns and kind of set that base?
Dave Hendry: We'll -- every quarter, we do look at dividends from a context. But for us, considering our cash flow profile and our current debt leverage that it's not something which really fits within our strategy. As far as sort of applying a hedge to a particular transaction, we would absolutely look at it, but it would depend on the merits of the transaction and do we feel that important enough to actually lock in. For a deal like the one we just closed, on the smaller side, we wouldn't put in a hedge position for it. It would have to be an acquisition that's meaningful that we needed the assurity of the cash flows.
Operator: [Operator Instructions] We have another question now from Jamie Kubik from CIBC.
Jamie Kubik: Just expanding a little bit on Luke's question with respect to the US, I mean you talked a fair bit about timing issues on this asset. Can you talk a bit about where production has trended versus your original expectations? And I guess what gives you comfort that the timing issues will get resolved in future quarters here?
Rob King: Maybe what gives us comfort on the activity as we look into 2022, just a bit a bit more context around those net DUCs and net permits numbers that I was mentioning to Luke, that 1.4 net DUCs, that actually is up 20% quarter-over-quarter. So we added 20% to the DUC inventory between Q4 and Q1. And so while that has an impact on -- it did have an impact on Q1 production, that gives us confidence that over the next six months, that's sort of the average time frame in the basins that we care about in the US where wells have been completed and brought online that we'll see that production being added to our asset base. And then what gives us the confidence sort of beyond those six month time frame is on those permits. And what we began to observe in the US is between -- again, on the assets that we care about, we call about three to four months between when a permit is applied for and a well is drilled. And then it's another five to six months from when the well is spud to when it's completed and brought online. So those permits give us confidence in the six to 18-month time frame in terms of where -- when that production will come online. And so put some context on the increase in the permits, that was also a 17% increase quarter-over-quarter and an increase of 50% year-over-year in terms of the permits that we have on our lines at the end of Q1.
David Spyker: And I think Jamie, as it compares to our initial valuation work, the acquisitions are certainly meeting expectations. And what we are seeing is drilling on lands that we didn't expect to see drilling. So we had essentially backstopped the acquisition work with drilling on the core lands in the Permian and Eagle Ford, but we're certainly seeing quite a bit of activity outside of those areas. So as far as the expectations on the deal, probably a little bit choppier on the production growth side but certainly really happy with the activity level we're seeing and how that's going to build out going forward.
Jamie Kubik: And then maybe just another one. We have heard of some timing-related issues with respect to completion crews in the US compared to ones that are drilled. And you touched on that, I think, a little bit with question there also. Can you just expand on maybe what you're seeing in real time with respect to wells that are drilled and some of the time to completion compared to maybe what you expected?
Rob King: I mean I think we're in a little bit of a different spot where 75% of our payers in the U.S. are large investment grade companies. And so I think that that tends to -- they have a better access to services than we certainly have seen in some other the smaller private end of the operators. I think we're -- I think that's…
David Spyker: Yes, that's probably fair. And I think that we're -- I think if anything, we're seeing a little bit of contraction on cycle times compared to historically just with the DUC count coming down in the US over the last couple of years that prioritizing on drilled wells. So a little bit of compression in timing there that we'll see -- will benefit us. But I think Rob nailed it as far as just the quality of the payers that we have and their access to equipment.
Operator: Thank you. There are no further questions registered at this time. I will turn the call back to Mr. Spyker.
David Spyker: All right. Thanks to everyone's questions and participation in the call this morning. We appreciate your continued interest in the company and we're always happy to share our results with you. Have a good day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.